Robin Martin: Hi, everyone, and thanks for joining this Valeura Energy webcast where we'll talk about our Q3 2025 results. We're recording the event today, November 17, 2025, and we'll make a replay available on our website and on our YouTube channel within the next day or so. My name is Robin Martin, I'm the Vice President of Investor Relations and Communications for Valeura. Joining me on this call are Dr. Sean Guest, our CEO; Yacine Ben-Meriem, our CFO; and Dr. Greg Kulawski, our COO. Running order for today's event, we will start with some prepared remarks tied to slides that you should see on your screen now. They're also available on our website, and then we'll proceed into a Q&A session. I'll guide us through that part of the call. [Operator Instructions] Before we get going, I will just draw your attention to our disclaimers and advisory slide and ask that you pay in particular attention to the forward-looking statements disclaimers here. So with that, I will hand the floor over to Sean. Go ahead, please.
W. Guest: Hi, Robin, thank you very much. And thank you, everyone, for joining us here today. If you could just go to the next slide, Robin. So I'll start to kind of give a bit of an intro on how we look back at the previous quarter and really actually what's gone on in the past couple of years and then also looking forward. Greg will then talk to you about he Wassana project and some of our recent execution and then Yacine will summarize some of the financial highlights before I kind of bring it back and really talk about what we've seen recently in performance, share price and what we kind of see going forward in the company. So starting with it, if we look at growth. Now one of the things we announced this year was we did a large-scale farming with PTTEP, the national oil company of Thailand. In addition to that, what we've seen is we kicked off earlier this year the Wassana oilfield full field development, and those are 2 projects that are really focused on the sustainability and the long-term growth of the company in Thailand. And we're very excited about both of those, and I'll go into a little more detail on them. Financially, the good news is you would have seen in the press release that actually compared to a year ago or compared to last quarter, really, all of our operating financial metrics are up, which is very pleasing to us, especially with strong margins even at the current oil prices. And that's allowed that balance sheet to also continue to strengthen, which improves really our ability to fund opportunities and to look at other M&A opportunities. Now when you look at execution within the company, we reiterated a couple of months ago our guidance is intact. We did point at that time, too, that we expected the production to be at the lower end of guidance. However, if you've seen in the current release that the current production with the drilling that we've done has actually increased out a lot. So that production so far in November is actually higher than any of the quarterly averages we had in 2025 to date. And importantly, a lot of this is coming from our Nong Yao field, which is most profitable. Now we've also seen that OpEx is heading towards the lower end of our guidance, which, therefore, we're really delivering on that cost per barrel basis. And the final thing just to emphasize is, as we've taken over these assets, we've actually been able to, year-on-year, reduce the emissions intensity from the assets, and that's continuing this year. We could be targeting as much as a 30% decrease in emission intensity since we took over from a year ago. Just before I hit the last 2 points, I really want to point out that those first bits really point to what we see as an extremely successful country entry into Thailand. We managed to get a couple of good deals, but then we've built on that with execution of assets, delivering on the production, delivering on the reserve growth. And finally, as we pointed to there, the longer-term growth opportunities that we're seeing with the farm-in and the redevelopment of PTTEP that aren't just looking at 5 years, but are looking at 5, 10, 15 years or more. And then as we look forward, well, we did sign 2 deals in Q3, the PTTEP deal that we -- that I'll talk about in more detail. But also, we signed a deal to farm someone in at our Turkish acreage, which, while it is not a focus for us now is still a very high-value opportunity, and I'll talk just a bit about that at the end. But what I can tell you, and we talk about this quite a bit, but we remain very focused on transformational opportunities. There's a good suite that we now see coming to market, and we're actually very involved in those now. And then finally, the last one on value. Well, while we've come up a lot since a year ago, the recent kind of downturn with oil price and then the decrease that we've seen, actually, we see it as a very good time to look to buy into the company because even though share price has been coming down, the business has been delivering. Okay. Next slide, please, Robin. So I'm just going to talk about the PTTEP farm-in before I hand over to Greg. Now we announced this back in July where we'd actually farmed in with PTTEP who are the national oil company and the largest oil and gas producer in Thailand. Now this has significantly increased our acreage position and set us up very well for the future. But one of the questions we've got since really doing this deal was, why did PTTEP want Valeura to farm-in? They obviously are very large companies, significant production and cash flow and can have a capital budget going forward in kind of the tens of billions. But what really their CEO has said and what we're seeing continually being reiterated is they believe they're the natural gas operator in Thailand, and with the work that they've seen us do and our operations, they believe we're the natural oil operator here. And they see that, that combination together is a way of maximizing the value and the way forward on these blocks. So we'll earn a 40% interest in there. And what we like is it's bringing diversity. It's bringing gas opportunities to us, but it's also bringing this opportunity to have medium and longer-term growth through these blocks that can really step aside into the future. The other important thing to note is that these blocks really abut right up against the major producing gas fields in Thailand as well as some of our oil assets. And these type of tiebacks are really the highest economic returns you can look at in our industry. All of the main producing facilities, the pipelines, those are all in place and you're just tying back into those. So your CapEx per barrel, your OpEx per barrel tends to be extremely good and very high returns. Again, on the entry cost, we really came in for pretty well like [ ground ] floor. But the important thing I want to note, too, is that while the deal is not closed, and we do expect it to close immediately or in the near term, I did meet with PTTEP and the regulator last week and all the paperwork, everything is progressing. But while we're still waiting for that to close, both teams are already working together, both commercially and technically on driving forward the work in this block. So that in 2025, we've already seen all of the committed seismic data acquired, approximately 1,200 square kilometers as well as we've seen 4 exploration wells drilled with discoveries in those. And the important thing with that is there's existing discoveries already here, and the team is already working on the development planning to try and look for some FIDs in 2026 to take these forward. Next slide, Robin. And I really wanted to zoom in a bit on the G3 block and the more southern block because this is one that really emphasizes those immediate development opportunities, particularly in the gas, but I'll also speak to the oil opportunities that we see that can be tied back to our field. So when you look at the block immediately to the east of our block is actually the Bongkot Gas Field, and it runs all along the boundary there. And that field is producing just under 1 Bcf a day. So extremely large, a lot of gas coming out of there. Now in the middle, there is an existing 3D seismic area with a number of discoveries. And this is where a new discovery has already actually happened this year. And that's where the team are starting to work on progressing this towards an FID in '26, whether it's for 1 new gas platform or 2, but there's that opportunity here of proven gas immediately next to a producing gas field. So the team we have put in place -- they actually filed the production area application and work is going ahead on the technical work and commercial work to progress this in 2026. And and we really hope to have much more technical details on this as we head into early next year. But that's really the immediate work that can come, and therefore, we can see an exploration block going from exploration to cash flow within a few years. There is new seismic being acquired in the south, over more gas discoveries down there, which could follow at a later date. But then when you look up around our Nong Yao field, which is in the north, our most profitable oil field, we've identified an oil fairway that we think exists from the Nong Yao field up to an undeveloped field called Ubon in the north. Now while new seismic has now been acquired over that, and we expect to next year work to process that, work that into a suite of drilling prospects, the team already have 3D seismic from our block that extends in there and we have a suite of opportunities immediately to the east of the Nong Yao field. First, there's a number of prospects that actually are drillable from the Nong Yao-A platform could be immediately tied in once you drill those. And then the other one that's even very interesting is we have just to the north of that, we have identified on the 3D, a very good exploration prospect that could be tied back to the platform to even increase production. So it's just reiterating with this block that what we see is immediate tieback opportunities of very high value, but then you can continue to explore and develop these, add in more platforms and really get it what we might call a string of pearls here. And that exists for both the oil and the gas. So again, very exciting opportunity for us, and we really hope to be able to speak more on this quantitatively once you get this closed and progressed to FID in 2026. So at that time, I'll hand over to Greg to talk a bit about the Wassana development.
Grzegorz Kulawski: Thank you, Sean, and hello, everyone. So let me continue with the growth updates. And really, I want to talk a little bit more about the Wassana field, which is our key organic growth opportunity in the operated assets. This is a project where we have taken an FID in May of this year on redevelopment, which involves installing a new central processing facility over the main part of the field, which you see marked in the red circle on the right. And so this central project has got very strong economics as we have shared before. And we'll see production out into 2043. And this production, just from the main field, is reflected in the reserves in the Wassana field, which now stands at post FID at 20.5 million barrels 2P. But the development concept also envisages satellite times, and we already have provisions in the design to be able to do so with risers in the main facility. So we've got these 2 areas with resources in the north and in the south of this license. Now in the north, we already have sufficient volume of resources and sufficient level of appraisal to really start satellite development. In the south, we've got some contingent resources already discovered, but we also see further upside potential with prospective resources. And that's why we are planning some exploration journey to capture those upsides in the south. And I guess what's important is that because this is a field which is operated by us and 100% owned by Valeura, it means that we've got quite a lot of optionality on the driving the optimum timing for FID and then bringing those North and South satellites onstream. If we go then to the next one, Robin, please? So just a brief update on project delivery, which is going very well. We are well on track for first oil in Q2 of 2027. And we've got now very high confidence on being able to deliver this project on or below budget. The main EPC contract is fixed price and is proceeding very well with other variations. All of the main equipment orders has now also been issued. And so there is relatively small amount that -- of scope that can be priced and the cost variation. So again, very, very high confidence on delivering the budget. And overall, we are, in aggregate, about 35% complete on this project. So going really well. If we then switch to the next slide, Robin. And moving on to the ongoing well delivery and production delivery, the most notable area of rig activity in Q3 has been our drilling campaign in Nong Yao field, which has gone really well. So we have finished the quarter at just under 12,000 barrels per day, equity production, having brought successfully a number of wells in the campaign. So we drilled 10 wells in total on Nong Yao in the quarter. Since then, the rig has moved across to the Jasmine fields where we are drilling now, and we have actually brought the drill some wells onstream in Jasmine. And so as a result of all of the activity, November to date, we are at 24,500, or maybe a little bit higher, barrels per day production. So going very well, and that's why we have reconfirmed our overall production guidance for the year, which will be coming within the guidance, albeit slightly towards the lower end. Now I think with that, let me hand over, Yacine, to you.
Yacine Ben-Meriem: Thank you very much. Hi, everyone. Thank you for joining us today. As Sean mentioned earlier on in his opening, this is one quarter where effectively, from a financial operational metrics or perspective, everything seems to be on the green side. So allow me first to walk you some of the key highlights. And as usual, we'll start from an operational perspective, where we are seeing quite a good momentum, be it on the production side or even the cost side. So starting with the production, as you can see on the screen in front of you, we recorded around just shy of 23,000 barrels a day equivalent day in Q3. That's up 3% versus the same quarter in 2024 and 7% versus the last quarter. This uplift in production is predominantly driven by Nong Yao, the campaign -- the infill campaign drilling that we did this quarter in Nong Yao. And as a reminder for everyone, Nong Yao is our biggest and most profitable field. Not only did we see improvement as well in the production, but also importantly, in the lifting was, as you can see, it's up 14% and 22%, double-digit versus last quarter and the same quarter last year. This is just a reflection of better optimization and scheduling really of the lifting. And it allows us as well to kind of eat into some of the inventory, which is something that we keep track on. Although as a reminder, production and lifting do tend to move. Sometimes there is a gap between the two. Now moving on to the real -- in terms of pricing environment. Obviously, we are in a price environment that is quite different from the same period last year where oil price, Brent and our realized spreads were really hovering around the $80. For this quarter, we had a realized price of $72.1 which is significantly, which is up compared to last quarter of $67.9. I think what I'd like to draw your attention really here is the premium that we get to -- for our crude compared to historical numbers. And what we've been really pleased this quarter is that really that expansion in our premium versus Brent, whereas in the last quarter, we recorded just shy of $1. In this quarter, we recorded $2.5. Now talking now -- moving on to the cost. And I think this is one of those graphs that we really like to look at internally. And it just gives you an indication as to how our cost control kind of translate into financials ultimately. So this quarter, as Sean mentioned I think, earlier on, our OpEx per barrel have come down quite significantly, not just from last quarter, but the same quarter last year. So now we are just at $24.8. This is really a reflection of an ongoing effort throughout the organization in terms of trying to chip out cost at any pocket, and be it on a temporary basis or more structural in nature, based on ongoing exercise that we keep doing across the organization. So how does this translate in terms of financials? Robin next slide, please? So with higher production, improvement in prices and better control, as you can see, we've seen a significant improvement in terms of our financials, be it on the EBITDAX level or most importantly for us, I guess, adjusted cash flow from operations. I think notwithstanding the increase itself, I think what we're really quite pleased where there's really the margins, the improvement in margins. So looking at the EBITDAX, that's more than 400 bps point increase and more than 100 bps point increase compared to the last period. And on adjusted cash flow from operation, I think this is really where the numbers comes into play where you see an improvement in margins from 35% -- and it's a continuous improvement quarter-to-quarter where we go from 36% last year to 39% this year and now we just shy of that 50%. So for every dollar that we sent -- that we received, effectively, we're generating $0.5 from our cash flow from operations, which we then can spend on CapEx and importantly, strengthen the balance sheet and effectively for M&A ultimately. And how does this translate in terms of cash? So as you can see, our cash positions have -- both cash position and adjusted net working capital have almost doubled compared to last year. That's a 60%, and it's almost a 70% improvement from last year. And as we continue with generating cash from the business, considering it's a highly cash generative, we can see this balance increasing and giving us that solid fortress balance sheet that will enable us to not only invest in our business, but also to seek highly accretive and transformational deals, as Sean mentioned earlier on. Next slide, please, Robin. So how did we end up with the cash flow from operations? I think the key point I'd like to highlight here is that during this quarter, we've had some -- we recorded some SRBs, and that's really related to Thai III regimes. And as far as the corporate tax, this is really related to the -- some subsidiaries that are outside of Thailand. But within Thailand, we haven't recorded any PITA, as you might imagine, because of the tax consolidation that we've done. Next slide, please, Robin. So as I mentioned, with the strong cash flow from operation, we are able to invest in our business, first and foremost. And as you can see, during this quarter, we invested around $52 million, of which close to $16 million was within the Wassana redevelopment that Greg was alluding to earlier on, was talking about earlier on. On top of that, we did some spend a little bit on exploration, but this is really studies, no drilling at all. And we also recorded $3 million in other income and interest. Now with the change in working capital, our Performa for this quarter would have been $252 million. However, we've also spent money on NCIB and also putting the deposit for G1 and G3 during the -- when we signed the deal. And also, we've paid some small corporate tax payment again due to outside subsidiary, outside of Thailand and Singapore. So we end up with a quarter again with $248 million. Again, it's all about strengthening the balance sheet and allowing us to deploy that capital as we go forward. And I guess with that, I'll hand back to Sean.
W. Guest: Okay. Thanks, Yacine. I just want to really reiterate and emphasize again how we look at capital allocation in the company. And the first thing with the assets that we acquired, so the 4 key assets. We talked about maintaining those net 20,000 to 25,000 barrel a day out to the 2030s. You can see the projects like Wassana and that, that we've been undertaking that are really pushing that out and extending that. We're also looking at exploration spend. Now again, we'll discuss more as we get into next year on how G1 and G3 funding come in there. But it's a good time to really emphasize that the gas developments are significantly less expensive than the oil or the cost for platforms that are much less. But that's really our first really event. We're looking for maintaining the production from the assets to deliver that cash flow as we then look to expand into other areas. After that, it really is value accretive M&A. We still see an extremely good environment out here in the region with the number of deals that are starting to come to the market to very few operators and really, there's quite a shallow buyer's pool. We've made those points before and we've talked to people about this. But I can honestly say that we are seeing a change now and that we're actually very actively involved in some transformational activities, which we hope we'll be able to talk about more as we get into Q1 next year. But the other point to really emphasize is we've said, the promise we made in '24 when it came to returns was if we, as a company, went through 2024 and we're getting to the latter half of the year, and we were building cash and we were not seeing the opportunities in the near term, we would put in place some sort of share buyback or return to shareholders. If you put that in place, we've had that in place during the past year, and we've actually reduced the share count in a mild amount as well as taking out a number of dilutives. But the thing we've said to people and say, we asked this, this year is that as we go through 2025, as long as we are still delivering the cash flow, and we have a very strong balance sheet capable of M&A, if we got to the latter half of the year, then we would also look for ways to return more of that money. Well, with the deals we currently see, we do not expect to see that we would be doing any large return money to shareholders. There's a line of sight on some good opportunities that we're very actively involved in. And that remains our primary focus is delivering growth. Okay. Next slide, Robin. And I just want to really look back as we come near the end here, the past year. Now obviously, when you compare share price back to a year ago, we're still up over 50% in that time, which is great. But the disappointing thing is that we've seen the slide in recent months. So we had good strong delivery as we really got up to that PTTEP farm-in, which jumped this up. But since that time, yes, there's been some pressure on the oil price, but in actual fact, our assets have still been delivering. This is a period where we've delivered on the production growth, and which we've delivered on the free cash flow as well as if you look at other news, like being ranked the #1 growing company in Canada. And I'd like to keep emphasizing, that's not in the energy industry, that's across all industries, and we announced that Turkey joint venture farm-in where we'll see some activity there to try and realize some of that loose tie-up side. So to us, this has been a bit of a frustrating time as I'm sure it has been for some of our shareholders, but we continue to deliver on execution, and we hope that in the end that's the right thing that we continue to see the share price turn there. So in many ways, it opens up a good buying opportunity, especially as we start to look at the coming months, where we see some catalysts could be coming in new business. I think people are really looking for us to be able to close that G1/G3 deal. We see no risk in that at all, but we do appreciate that until those are solidified that the market can sometimes be nervous about them. And then as we get into the first half of the year, start to really quantify a bit about going towards an FID on those gas developments. And as we've had for the past couple of years, we expect a good reserve number when we actually release those numbers in February. So a good suite of opportunities even before you consider that we actually have some activity going on in Turkey at this time. So just before I move off that, maybe just a time to talk a bit about that Turkey farm, that Turkey farm-in. Now we heavily changed our shareholder base. There will be a lot of people actually who are shareholders now who aren't really aware of what happened there. To summarize it quite a bit, there is a significant amount of gas in deep in the Turkey unconventional gas, very tight. We've identified through the drilling, through 3D seismic, there's tens of TCF there. But during the work we did with our previous partner, we had not demonstrated a commercial flow. Even though we've done 12 separate flows, we've flowed wells for up to 3 months. So the gas will flow from the ground. But recently, now we've had a new partner come in, who's going to look at retesting the well. And based on that, we'll actually go forward to look and drill a well. And the partner we have is extremely good partner. We've dealt with them before as a partner. They're extremely well-funded private company. They are the most active company in fracking and flowing in Turkey, and they're also very well connected and been working in Turkey for years. So what we're trying to say to our shareholders is, look, we are not putting our capital into that at this time. It's not taking the focus of your management team. But we have a blue sky opportunity there that while it still has risk on it, if we're able to prove commercial flow of gas from that opportunity, it's a very big upside for our shareholders. So still a lot of risk on that, but it's nice to see some work progressing there that could open that up. So finally, just reiterating, as we move to the next slide, Robin, we see actually it is a good time to come in based on the recent slide in share price. Again, we trade very well relative to our peers. We're -- really, we have a lot of upside potential still available to us, both from our NAV as well as our analyst consensus. So again, a good time to buy in. So Robin, just the last slide. So just reiterating again, we really see that we've done the country entry into Thailand. We have a solid business unit there that's now delivering not only on the execution of the assets they have, but also looking at growth. We do see other opportunities within Thailand, but I can also tell you that the executive, we're very much focused now on looking at how we can take what we've done in Thailand, that successful opportunity, that growth that we've got there and look at where do we apply that next, where is that next transformational deal. And that's what's ongoing at this point in time. So again, a good quarter, a good growth we've seen relative to last year and to the previous quarter, and we look forward to carrying that on to the year-end. So with that, I'll hand over to Robin for the Q&A period, and thank everyone for joining us.
Robin Martin: Thanks very much, Sean. [Operator Instructions] So while we wait for more of those to come in, we do have a couple of typed questions here. First, on reserves. You mentioned we should expect a good reserves report at the end of the year. Can you give us a directional expectation for what that actually means at year-end 2025?
Grzegorz Kulawski: Well, look, so I think we have talked previously about the process by which whenever we drill new development wells, we typically also target appraisal targets within these campaigns. We've done it this year just as we did in previous years. Some of it has been in Nong Yao, some of it has been in other fields. I mean, again, I would be probably careful with the hazarding numbers before we conclude all of the audits, especially given the movement in the prices. But I would say that, again, we've had on the operational side some additional volumes. And of course, we've had the significant additions from Wassana FID, which you already are aware of.
Robin Martin: Thanks for that, Greg. We've got a live question now from David Round.
W. Guest: Yes, David, just a reminder that -- yes, there you go.
David Round: Got it. Yes, sort of. First question, just you've gone back to drill at Jasmine. I'm just wondering, does that program differ much from the one at the start of the year? Should we be thinking about kind of similar outcomes in terms of things like production? And I think in the past, I think you've talked about potential constraints bringing on new wells. Is that a problem at Jasmine at all?
Grzegorz Kulawski: Well, so I think we are planning these campaigns in a way that optimizing both the capture of the subsurface resource and the targets that we continue to see in the future well inventory as well as the capacity and slot availability in the production facility to be able to bring them into production, right? So I think -- I mean we've been drilling kind of year-round cycling through all of our fields. So we have had that campaign, as we said earlier in the year. In Jasmine, we are now back. I would say it's actually going very well in Jasmine so far, that's part of the production we've been seeing in November. So yes, I would say it's so far so good in the Jasmine campaign.
David Round: Okay. And you talked about cycling there. I suppose, obviously, Nong Yao has been great. As you -- as we kind of think about the next sort of set of drilling post Jasmine, I mean will you be ready to go back to Nong Yao once the Jasmine program finishes? Or would you be willing to go back and drill up Manora or should we be thinking maybe that's the time for a pause in the program?
Grzegorz Kulawski: Yes. So for next year, I mean I guess we will provide a more precise guidance early in the year for the annual plan. But in short, yes, we will be looking to go to Manora for probably a shorter campaign after Jasmine, and thereafter, we will be back in Nong Yao again with a significant campaign there.
David Round: Okay, Greg. And sorry, a quick final one, just on Wassana, while I've got you. Given the softer commodity prices we've seen recently, are you seeing anything positive in terms of reduction in rig rates? And I understand you haven't locked those in yet, correct me if I'm wrong. If you haven't, at what point might you look to lock those costs in?
Grzegorz Kulawski: Yes. It's a good observation, David. We have seen softening in the rig market. At the moment, the rig we have is committed through to August of next year. And so we are actively now going to be looking at the market to try and capture the opportunity associated with this softening rig rates.
Robin Martin: Very good. We'll move over to a typed question now. With PTTEP being the operator of the new licenses, G1 and G3, and their focus being primarily on gas, will Valeura still get a fair opportunity to pursue oil-focused drilling on these blocks, for example, the Nong Yao Northeast extension?
W. Guest: Yes, very, very much so. And the first thing, just to emphasize with PTTEP is, when it comes to the gas development and exploration, we are extremely happy to have them as the operator. They are doing -- they're installing new platforms and drilling continuously. It was 11 rigs out there. So they really are the lowest cost operator you have around here. And we noticed that when we took the trip out to the Wassana yard that's building the Wassana platform last week, there is a suite of PTTEP gas platforms sitting there, half constructed, fully constructed, all ready to go. They are installing these things continually. So it's like a conveyor belt that they're doing there. So that's really the way that you get the highest efficiency in both your contracting and delivery. So very pleased for them to be our operator in the gas. Now on the oil, like we emphasized, they're looking for us to do -- to bring the oil opportunities here and work it out. We're kind of sharing the load there on the work. But what I can tell you is with the work that we've done even around Nong Yao, there's a lot of enthusiasm for their management is to bring that forward, show those opportunities, show that we can accelerate it. While the volumes are smaller for them, there's still very good economic opportunities that are development of Thailand's assets, which are very much in line with what PTTEP, as the NOC is trying to achieve. And the other thing is the agreements we have with them also allow that if they look at an oil opportunity and say, look at that's too small for us to consider, we still have the ability to move forward on those.
Robin Martin: Thanks for that, Sean. While we're on G1, G3, another couple of questions. What's the typical size of a platform for gas development in that area in production, Mboed.
W. Guest: Yes, the average was about 10 million BOEs.
Grzegorz Kulawski: Yes. So about the, say, 60 million would be kind of a discrete additional one of these tie-in development. Yes, so that's the 10,000 BOE per day equivalent in that range.
W. Guest: Yes. So they will vary depending on also how many wells you have on them, but kind of that range of 30, 60, that sort of range where you start lower and work it up. But yes, that's kind of the size of production that you're looking for. But then again, the thing to emphasize to people, and again, I'll bring it back to our visit to the yard last week is that this is one of the most active areas in the world for the installation of these platforms. Like we were talking with the yard last week and saying, where in the world do you have these facilities being built? And the only thing we could really come up with was around Saudi Arabia and the drilling that they're doing offshore. It's this continual number of platforms being installed. So I can tell you that PTTEP doesn't look at it and say, well, we're going to install 2 platforms here. They look at it, we're going to install 2, and then when are the next 2 and when are the next 2. How do we get these things daisy-chain together? And that's how you really build up the volume of production and you build up that longer-term future for the company.
Robin Martin: Very good. Yacine, you've been resting your voice. So let's move to a tax-related question. Could you please remind us of the origin of the tax consolidation or the -- I suspect the question means, the tax loss carryforwards? And also, what's your expectation for when Valeura will need to start paying taxes?
Yacine Ben-Meriem: Okay. So in terms of history, so when we did the deal with KrisEnergy, KrisEnergy's piece came with tax losses around USD 400 million. And when we did the acquisitions with Mubadala, which was cash-generative portfolio, we put them together. And by putting them together, we have access to the $400 million of tax losses. Now worth highlighting that these tax losses are ring-fenced on the Thai III regime. So they apply effectively to Wassana, Nong Yao and Manora. Jasmine is outside this scope, so Jasmine, we will pay taxes on it. And to your second question, Robin, honestly, all question of what oil price are you assuming. I think at the softer oil price like we see today, we're probably going to be talking -- I think what we think is around like 2 -- so around 3 years till we consume all of these taxes, tax losses. However, at a higher oil price, obviously, that period -- that window will get shorter.
Robin Martin: Okay, very good. While we're talking about cash payments, just switching back to G1/G3, and the question is, what do you anticipate would be your cash payment for G1/G3 at the time of FID? So I'm assuming this question means anticipated 40% of the total spend up to that point, what would that cash outlay look like for us?
W. Guest: Yes. We don't have the final numbers on that now. We're still working them up. But to give an idea like we see the platform is probably about 1/3 the cost, 1/4 to 1/3 the cost of our oil platform on Wassana. And then again, remembering that we're at a 40% level of those, right? So again, the Wassana redevelopment, the whole new field there, that is a central processing platform, oil development, high-power requirements, those are quite expensive. Gas tieback platforms tend to be quite cheap. So yes, we're working about 1/4 to 1/3 of the cost, but we'll have details on that again once we have the numbers next year, early next year.
Robin Martin: Okay. Very good. [Operator Instructions] I've got one more question here. On M&A, it appears the majors are returning to Southeast Asia, at least a little bit in Indonesia and Malaysia perhaps. What does this mean for competition in the region?
W. Guest: Yes, very good question because it's a good observation. It is happening. We saw a lot of the retreat companies, particularly someone like [ Total ] who are really almost completely left production in Asia. And now they've come back with a vengeance into Malaysia. But what I can say is the assets that those guys are looking for are extremely different to the ones that we are. And we still see the cases of -- if you're doing 50,000 barrels a day, that sort of level, it is not material for these guys. They need to be looking at gas and they need to be looking at big gas. That's what's drawing them back into the region, not modest levels of oil production. You can see when Chevron closed their deal to acquire Hess, almost immediately, they sold some of Hess' acreage in the joint development area, and we continue to watch to see what else will come now that Chevron have that deal closed.
Robin Martin: Okay. Very good. We have no further questions that have come in. I'll remind the audience that if anything does come to mind in the interim, feel free to reach out to us at any time. Our website and contact details are all available on the slide in front of you -- pardon me, available on our website. So please do feel free to reach out. We're happy to take questions at any time. So with that, I'll hand over to you, Sean, to wrap up.
W. Guest: Yes. And from my side, I'll just say I'd really like to thank everyone for joining us here again today, for following the company and your support as we move forward. We still see going into '26, it's going to be an exciting time with lots of new catalysts coming. So thank you very much.
Robin Martin: Thanks, everyone. That concludes our call for today.